Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Xperi Third Quarter Fiscal Year 2021 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the call will be opened for questions. . I would now like to turn the call over to Geri Weinfeld, Vice President of Investor Relations for Xperi. Geri, please go ahead.
Geri Weinfeld: Good afternoon, everyone. Thanks for joining us as we report our third quarter fiscal year 2021 financial results. With me on the call today are Jon Kirchner, CEO; and Robert Andersen, CFO. Also on the call is Samir Armaly, President of IP Licensing, who will be available along with Jon and Robert to answer questions during the Q&A portion of the call. Before we begin, I would like to provide two reminders. First, today's discussion contains forward-looking statements that are predictions, projections or other statements about future events, which are based on management's current expectations and beliefs, and therefore subject to risks, uncertainties, and changes in circumstances. Please refer to the Risk Factors section in our SEC filings, including our annual report on Form 10-K for more information on the risks and uncertainties that could cause our actual results to differ materially from what we discuss today. Please note that the company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call. Second, we refer to certain non-GAAP financial measures, which exclude one time or ongoing non-cash acquired intangibles amortization charges, costs related to actual or planned business combinations, including transaction fees, integration costs, severance, facility closures and retention bonuses, separation costs, stock-based compensation, loss on debt extinguishment, expensed debt refinancing costs, realized and unrealized gains or losses on marketable equity securities and associated tax effects. We provide a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures in earnings release and on the Investor Relations section of our website. The recording of this conference call will be available on our Investor Relations website at www.xperi.com.  I'll now turn the call over to Jon Kirchner.
Jon Kirchner: Thanks, Geri, and thanks everyone for joining us. We had a strong quarter with better-than-expected revenue cash flow and earnings. Revenue was $219.4 million up 8.2% year-over-year mainly due to increases in IT, partially offset by declines in the product business due to supply chain, constraints. Non-GAAP earnings per share was $0.53 up 179% year-over-year. We generated $82.9 million in operating cash flow, an increase of 33% year-over-year and repurchased approximately $25 million of stock. Although we saw an increase impact on the product business from chip and general supply chain constraints we remain on track to deliver strong financial results for the year. At a high-level we made solid progress on the following growth drivers during the quarter. DTS AutoSense launched on the BMW IX Series in Europe with more models to come in 22. DTS AutoStage delivered a new models in addition to the S-Class Mercedes is now implemented DTS AutoStage and its C-Class vehicles. Disney+ launched as a streaming partner in our IMAX enhanced ecosystem. We accelerated adoption of our IPTV solutions, an integrated MobiTV to provide a managed service offering We increased the footprint and available content for the TiVo Stream and advanced discussions to our delivering stream OS on connected TVs and we made progress toward re-establishing our semi IP business with the addition of YMTC as a new license fee for our hybrid bonding portfolio. Let me now begin with a discussion of our IP licensing business. IP Revenue in Q3 was a $101.6 million up 27% year-over-year. This increase was primarily driven by the success we've had with renewals and expanded licenses over the past year as well as some new IP agreement signed during Q3. As is typical with IP businesses, these results reflect some agreements that include ketchup, or a front license fees. We continue to make progress on certain key growth drivers in the quarter. In OTT which represents our largest growth driver we continue to engage with a strong pipeline of streaming services around expanded renewals and new license agreements. In Canada we are awaiting a decision in the initial round of litigation. We remain very confident in the relevance of our IP portfolio and in our ability to ultimately achieve a market-based resolution, although predicting timing is always difficult. As a reminder we filed second rounds of litigation against Videotron and Bell Canada earlier this year. In semi IP we announced the new license with YMTC, the semiconductor memory manufacturer based in China, but we're still in the early stages of re-establishing our semiconductor IP business. This license is another datapoint underscoring the relevance of our high IP and hybrid bonding. YMTC is the first company shipping commercial 3D, Nan products that incorporate hybrid bonding. This agreement recognizes the broad, fundamental nature of our bonding IP portfolio and our leadership position in that market. It is also a proof point in the continued proliferation of hybrid bonding into an expanding range of semiconductor applications, including sensors, memory and logic. Our execution year-to-date for the IP business as a whole puts us on track to exceed our $350 million average annual baseline by roughly 10% this year. We are confident that our IP licensing business is better position than ever supported by long-term agreements that generates significant recurring and very profitable cash flows well, into the future. Moving to our products business. Total product revenue was $117.7 million down 4% year-over-year. While we saw growth and monetization in IPTV this was offset by declines in connected-car, mobile devices, game consoles, and consumer hardware from supply-chain constraints, that impacted our customer shipment volumes. First a comment on the supply chain. Although the year started off strong, beginning in late September we started to see signs that the impact of supply chain constraints on our product business was greater than in prior quarters. Given this disruption we are seeing some year-over-year declines in customer volumes impacting our per unit royalties. Importantly, we made significant progress on our key initiatives and as we look ahead, we strongly believe that our product business is solidly positioned for growth. The consumer experience category revenue was $46.1 million down 6% year-over-year. As I mentioned the decrease in Q3 was mainly driven by unit declines in mobile, game consoles and consumer hardware. We had another solid quarter for unit sales of the TiVo Stream 4K and continue to make progress on building out the TiVo Stream platform. On the content front we continue to expand our ad-supported TiVo Plus, offering with new content partners, including QVC, Hallmark movies, and more, Magnolia pictures and Kevin Hart's Laugh out loud. We also expanded our relationship with Pluto TV to integrate 33 new channels, including Showtime Selects, Pluto TV 007, the Paramount Movie Channel and more. Lastly we added Acorn TV to our . We also saw strong growth n connected TV monetization during the quarter as we successfully launched a new connected TV advertising product with unique audience, targeting based on Tebow's viewership data. Importantly, on the IMAX enhanced front today we jointly announced a new partnership with the Walt Disney Company and IMAX beginning, November 12th for the first time ever Marvel fans will be able to enjoy their favorite titles at home with IMAX enhanced on Disney+. This is a significant step in expanding the content available in the IMAX enhanced ecosystem. Moving to our pay- TV business. Revenue was $54.2 million down 2% year-over-year. We are very pleased with the success we are seeing is more customers begin to adopt our IPTV Solutions. Additionally with a smaller than expected year-over-year decline in revenue our strategy is being proven out as our higher-value. IPTV Solutions are mostly offsetting declines in our traditional interactive program guides. Q3 was our first full quarter with MobiTV following the completion of the acquisition in Q2, the MobiTV integration is progressing well, and we're on track to complete integration during the fourth quarter. With the MobiTV integration completed we will be able to further scale our overall IPTV offerings and accelerate subscriber growth. During the quarter we help customers excuse me we helped customers including Cable One service electric Cablevision, Blue Ridge and Armstrong launch and begin scaling their IPTV offerings. Overall, we continue to see another quarter of strong subscriber growth for IPTV services. Moving to the connected car category, revenue was $17.4 million down 6% year-over-year as production reports received after the end of the quarter clearly indicate an increased impact from the chip supply constraints on our HD radio business. Despite the supply chain issues during the quarter 24 new models launched with HD radio technology in the U.S. and Mexico. We also launched HD Radio in two new categories, trucks with Daimler, and motorcycles with BMW. Additionally, we have been approved for ISO 9001 certification for HD Radio. This is a critical milestone in meeting global auto industry quality standards to ensure our position in the market. DTS AutoStage continue to roll out in Mercedes models. The new C Class launched with our technology in Europe with cars arriving in the U.S. at the beginning of 2022. We continue to work an active pipeline and are participating in RFQs with car companies across Europe, Japan and North America for programs launching between 2022 and 2025. For DTS AutoSense BMW launch vehicles with our occupancy monitoring system technology in Europe on the BMW IX. These models will arrive in the U.S. at the beginning of 2022. We are proud to be part of the first OMS solution brought to market. Further truck lines in Japan continue to launch with a driver monitoring system technology and we are pleased to see our production DMS solution expanding in Asia with the recent shipment of trucks with our technology in Singapore. Additionally Xperi is proud to have been recognized by Frost and Sullivan as Company of the Year for connected car media industry best practices. We believe this third party validation of our products and team highlights our innovation efforts and enhances our market position in the connected car category. In our perceived business, we continue to engage with customers across multiple markets and supported their development efforts with the Ergo platform. As we mentioned last quarter, we provided our machine learning tools to select customers. And this quarter we followed up with additional software, chips and boards to support customer development efforts. We continue to see significant demand for power efficient high performance AI capabilities for next generation products. Unfortunately, one of our customers canceled a product originally slated for 2022. That decision is unrelated to the performance and capabilities of our platform. We continue to work with a range of other partners on the development of innovative products utilizing Ergo. However, given the current supply chain environment and its potential impact on elongating production schedules. The exact timing of when the first perceived enable product will come to market is uncertain, but likely within the next 12 to 18 months. Lastly, I want to touch on the significant attention and focus being placed on the Metaverse. The move toward greater acceleration of investment, development and adoption of advanced AR/VR technologies in the creation of an omnipresent digital presence is a big positive from our point of view. Xperi developed deep IP expertise, products and solutions in the spatial audio imaging personalization, discovery, AI presence and awareness areas. Many of these enabling technologies are already in the market and we've been working on others with partners in the space over the past few years. In the end, enabling technologies like these will be essential and fundamental. Xperi has always been focused on bringing extraordinary experiences into our lives. And the Metaverse is emerging as the next frontier. Exciting times ahead as we participate in this market and create new opportunities for growth. With that'll turn the call over to Robert to discuss our financials, Robert.
Robert Andersen: Thanks, John. Let me begin with financial results for the third quarter. Xperi's third quarter revenue was $219.4 million, which was ahead of our expectations for the quarter, primarily from certain deals in our IP licensing business closing earlier than anticipated offset by the supply chain constraints, noted by John that impacted our product business. On a non-GAAP basis, our operating expense excluding COGS was $114 million and $5.3 million or 4.4% year-over-year mostly due to lower litigation expense and synergy savings offset by expenses from the acquisition of MobiTV last quarter. Non-GAAP cost of goods sold of $31.9 million was $1.9 million lower than the third quarter of 2020. Cash taxes paid in the quarter were $7.2 million. Using the $7.2 million cash tax number the non-GAAP earnings per share for the third quarter was $0.53. We ended the quarter with $10.8 million basic shares outstanding and $113.1 million non-GAAP fully diluted shares outstanding. Moving to the balance sheet we finished the quarter with $237.3 million in cash and investments. We also paid down $10.2 million of debt during the quarter, bringing the outstanding balance down to just under $800 million. Operating cash flow for the quarter was $82.9 million, from 62.6 million a year ago primarily due to changes in working capital, lower cash taxes and reduce spending. Our adjusted free cash flow for the quarter was $87.7 million. Adjusted free cash flow reflects operating cash flow adjusted for $3.4 million of property, plant and equipment spend and 8.2 million of merger and separation related costs. During the quarter Xperi paid a quarterly cash dividend of $0.05 per share of common stock. We also repurchase 1.2 million shares of common stock for a total of $24.8 million. Let me lastly comment on our outlook for the year. We are narrowing the year's revenue range to $870 million to $890 million. The lower end of the range reflects continued impact on supply chain constraints on our product business, while the higher end reflects improvement in per unit product shipments and positive outcomes on deal closures for the business as a whole. For expenses we are lowering the year's non-GAAP operating expense range to $455 million to $465 million which reflects reduced spending for the full year primarily on litigation, personnel, outside services and marketing. Guidance for COGS interest expense and other income remain unchanged. Our cash tax is now estimated to be approximately $36 million. We are raising the range for this year's operating cash flow to $205 million to $225 million, which incorporates the impact of reduced spending. As a result, our adjusted free cash flow range also increases to $210 million to $230 million. That concludes our prepared remarks. Let us now open the call to your questions.
Operator: Thank you.  We will take our first question from Hamed Khorsand with BWS Financial. 
Hamed Khorsand: I wanted to start off by talking about the OpEx guidance declining. These cost savings that you're talking about is there any possibility some of them ratchet up next year? Or are these permanent kind of cost savings? 
Robert Andersen: I think, this is Robert, there's a bit of both. We have some savings we've experienced this year for personnel expense or outside spending. And some of that won't recur. But I think on the other side, we have had lower litigation expense this year least compared to our historical past. And so we would expect that at least from a run rate basis to probably increase depending on where we are with some of the cases. And we also continue to make investments and growth in the business. So I think if we were looking at a year-over-year expense number again we're pretty early in terms of looking at 22. We're still going through that planning exercise. I would expect that spending in general would increase. 
Hamed Khorsand: Okay. And on the IPTV side, you've been seeing positive activity. Is that because of MobiTV winning the business? Or is that Xperi's own IPTV product that was winning the business? 
Jon Kirchner: It's both. We coming into about a year ago had booked quite a bit of business that due to COVID various operators chose not to deploy because there were challenges in getting truck rolls in the houses, etc, etc. And so we've been working with our partner customers to help them develop ways including self install options that are helping operators more easily and cost effectively get IPTV in the various household. So I think as we in particular look ahead, we're going to see more acceleration on both counts, both in the managed service offering, which we feel great about with the acquisition of MobiTV, and how that can address an important part of the marketplace but also within the typical legacy traditional IPTV business that we've had for some time. 
Hamed Khorsand: Okay, and then lastly, on the perceive the order cancellation or the partnership cancellation, not really want to refer to it. It was this because of the potential customer redesigning and using something else and going away, or was it purely because of what's going on in the supply chain front? 
Jon Kirchner: Neither actually. It had to do with their view of where they thought they wanted to be positioned in the marketplace, and the respective price point features, etc, that they thought would advance their business interests. So we don't typically because we're an ingredient supplier, we don't typically talk about end customers products. But given that we had originally expected something to occur, let's call it in the earlier part of 22. And that that has changed. We have a number of other irons in the fire and working with a number of potential partners. And I think the bigger question now is just how does that play out over time, given what we're seeing in the broader kind of dynamic environment and what's the exact timing, but we feel very, very good about, I think, the uniqueness of the platform and where we believe we can take it over time. It's a huge opportunity for us. 
Hamed Khorsand: Great. Thank you . 
Operator: And our next question comes from Sam Peterman with Craig-Hallum Capital Group. 
Sam Peterman: Hi, guys, thanks for taking my question. I wanted to ask on connected car that was down quarter-over-quarter, that seems like you launched on the same number of programs as kind of was anticipated. And it seems like most of that is just from kind of lower OEM production volumes. Is that the right read? And then could you just talk about the outlook  kind of for 2022 in that segment, given the constraints in the industry? Thanks. 
Jon Kirchner: So for Q3, it was definitely lower unit volumes. That's what we saw. It's not due to any particular design losses. I think as we look out into ‘22 overall volumes are currently forecast be down year-over-year, although we do expect some relief from the supply chain issues as we move into ‘22. So it's really going to depend on both the product mix and the brand mix and brand market share. And we'll know a lot more we get through February. We've made a lot of new technologies are being able to penetrate the automotive market that we also expect will further impact ‘22. 
Sam Peterman: Okay, that's helpful. Thanks. Now, I want to ask on hybrid bonding. You had the announcement with why YMTC and I guess I'm curious just kind of at a high level, who else you guys see is likely early movers in the technology and any thoughts you could offer on when you guys could start to see a revenue impact from hybrid bonding licensing, whether that's from YMTC or somewhere else? 
Samir Armaly: Hi, this is Samir. So we certainly are seeing an increase in the industry discussions around hybrid bonding. It started first in image sensors. It's moved into memory, including some of the Nan discussions we just talked about with YMTC and we certainly see opportunities in other segments like logic. So it still is taking some time for that to penetrate some of those markets. Logic, for example, we probably would be seen in the 23- 24 timeframe. But we're pleased both the deals we've done to date with the likes of Samsung and SK Hynix. And the more recent deal with YMTC really highlight the strengths of the company's portfolio, and expertise in hybrid bonding. And as that market opportunity continues to develop, we're excited about the opportunity it brings for us. 
Sam Peterman: Okay, thanks for that. I think just one more quick for me on MobiTV it sounds like integration is almost complete. And that's going well. I was curious, do you give any color on kind of what kind of revenues you think you could see on MobiTV next year and kind of qualitatively how negotiations with customers are going with those new assets? 
Jon Kirchner: Maybe let me take the second question and I will let Robert address the first. I would say discussions with the customer base are going very well within 30 or 45 days even after acquiring the assets we had successfully resigned in the neighborhood of 100 customers and I think people are seeing our commitment to both investing and innovating around the platform as well as being a long term partner in the space that this is a strong platform to be associated with and I think that's going to help us scale it pretty meaningfully. And so this is very much a game of scale and I think that we will be looking to see that scale meaningfully change in 22. But Robert, you want to answer the part of the question. 
Robert Andersen: Sure. Just in terms of the numbers, we're expecting this year for the really from the time we've acquired MobiTV, sort of mid single digit revenue, low teens on expenses, and then we expect that to scale as John was describing, and turn a profit. And the good thing about the MobiTV structure is that it's scalable. So as it scales, the costs are somewhat fixed. And we can continue to get additional profits out of that business. 
Jon Kirchner: But well, it's we get on the call, and in February, we'll provide a broader macro view of where it can go. But it's obviously expected, obviously, to grow meaningfully between current run rate level and more.
Sam Peterman: Okay, that's really helpful. I think that's all for me. Thanks, guys. 
Operator:  We'll take our next question from Matthew Galinko with Maxim Group.
Matthew Galinko: Hey good afternoon. Thanks for taking my question. Maybe firstly on the Disney  IMAX enhanced years. Could you talk about the frame the magnitude of what a sort of significant streaming where in U.S. does for that piece of the business? And kind of, does that encourage follow on adoption in the U.S. market? 
Jon Kirchner: Yes, I mean, this is about long term, ecosystem building. And in our case, as we talk about ecosystems, you need more relevant content and you need then more devices in the marketplace, and they kind of feed on each other so that you can deliver the highest quality, quality experience to the largest group possible, providing advantages to both the content, distributors, as well as end consumers. And so this is obviously, very important from our perspective, and that you've got a fantastic major service like Disney+, coming online, and we think it will, over time, not only encourage others to join from a content perspective. But it will, we think there will be a natural impact on kind of hardware impact, which again, in turn will make this more attractive for other people to participate. And so I think it will take a bit for this to play out, but overall this is a partnership we have worked on for some time, and we've got very good relationships there and we think it's fantastic that Marvel fans will be able to really enjoy the highest possible form of content delivery in their own homes with IMAX enhanced. 
Matthew Galinko: Got it. Thanks. And then maybe another follow up on perceive on the question answered just before is there, to the extent you could say to the extent you could say their perception that there's less consumer impetus for edge computing and device that can do inference at the edge and that there isn't an incremental value there, or is there any other kind of takeaway we can hear queen from that dynamic? 
Jon Kirchner: No in the sense that I don't think our experience with this in this case is being representative of let's call it a broader trend of consumer lack of interest in edge based computing. I think, we just happen to be at the front end of some meaningful innovation in the marketplace. And I think until it is both the platform is both easy to implement. And people begin to discover a whole range of possibilities that in many cases, were never previously possible, coupled with benefits, like privacy that can only occur at the edge. I think as that story plays out, I think you'll see demand and exploration in and around what can be done at the edge growing very meaningfully. I mean, I think if you think about it just in simple terms, why wouldn't you want to be able to have kind of data center class compute power, meaning processing performance at the cost of have little to no electrical power, when you think about that from a product design perspective, and you have to manage things like heat dissipation it can impact form factor, it can impact, obviously, battery life performance, and it can impact privacy. I mean this is the beginning of something much, much, much bigger. The challenge is simply, and we've been working aggressively on this, as we've openly discussed, which is getting our platform tools in a place where it's easy for third parties to be able to take the technology and implement it, particularly in a dynamic marketplace, where the things are changing and are so dynamic people are not necessarily looking to do things that are hard and difficult. And so it's incumbent upon us for us to build that those tools out. And we feel very good that that process is progressing pretty much consistent with our expectations over the last 12 months. And we look ahead, I think, to some really exciting engagement. 
Matthew Galinko: Thank you. And then maybe one last one, from me. You've continued to notch I think HD Radio models, you mentioned the ISO 9001 certification. Can you speak to just I guess ex-supply chain frustrations what more is there to do in HD Radio in the market and how far can you push that solution? 
Jon Kirchner: Well, I think there is no doubt incremental market share to be gained if we can continue to lower the cost of the hardware and the implementation. I think over the years, we have done that with different partners. And I think we continue to work on that. Because naturally, if it's less costly to implement from a hardware perspective potentially expands the range of models that might more easily make that decision. I think, secondly, you've got various standards activities that are going on as people explore how to best utilize the spectrum in the HD Radio system to deal with things like emergency alerts, and other safety related applications that are very much on the minds of government and government regulators. And I think as that plays out, that may also influence if you will, the ultimate degree of penetration, but I think meanwhile we need to continue to just work to ensure the technology is available on the platforms that our customers are using, look to proactively drive down cost, and continue to build out the broadcast footprint, helping both the broadcasters and the automakers understand the benefits that HD Radio can provide in a number of areas. And if we do that we think we'll continue to see that incrementally grow. 
Matthew Galinko: Great, thank you. 
Operator: And our next question comes from Michael Cohen with MDC Financial Research. 
Michael Cohen: Yes. Thank you Jon for taking the call and congratulations on the quarter. I was wondering regarding the IP licensing business, is that something that you guys are still contemplating spinning out? Or is that off the table?
Jon Kirchner: No, we have openly discussed separating the product and IP businesses. We have been targeting by the middle of next year. I think we in the past, we've talked about some of the conditions that are important to be able to affect that separation and they involve everything from making sure the backend of the business and the systems and infrastructure such that we're ready to go, which is something we are very, very focused on doing and continue to advance month after month. Another issue that is critical to this is just getting clarity, about the growth prospects for the product business. We are working hard to position the business in a way that we think can not only be very successful on a standalone basis, but one that will help investors understand in a more pure play way the opportunities and benefits that come with the product business, as well as the IP business, which we're equally building for long term strategic standalone kind of value. And so and in the third key element is just what are the market dynamics that as you approach separation and I think as we handicapped when this might occur last year I think there continues to be things that are creating challenges and changes but it's something we're still very much working forward toward. And as we get into February, we'll have a better view on how we think ‘22 plays out and the exact timing of what we're thinking about there. But strategically we think it makes a lot of sense for a number of reasons, including eliminating some dissynergy. But the key is, is that in order to create value for shareholders in a transaction like that, which is our objective, and are really our only objective, you need to ensure that both businesses are firing on all cylinders in a way that you can affect it and make it a win-win outcome.
Michael Cohen: Okay and I have a follow up regarding the Canadian litigation if you can answer it. You mentioned that we're waiting a decision out of Canada. I'm wondering if it's going to come as a single decision or I think more likely two decisions. One would be Videotron and one would be BCIE and  is that correct? That'd be two separate decisions?
Samir Armaly: That's correct. This is Samir. So certainly, there are two separate proceedings ongoing in Canada. They were heard before the same judge. And so ultimately, they'll be distinct decisions, whether they happen at the same time or happen at separate times. It's not something we have certainty on. But as we've mentioned in the past, we still expect those decisions to happen sometime this year. But we're not waiting for that. We've continued to advance our discussions in general and in the Canadian market as well as pursued a second round of litigation as you might know, Michael with some of the folks that are in Canada.
Michael Cohen: Right. I'm not as familiar with Canadian courts. Do you think that they would hand off the decisions to you to press release it? Or is there a chance that it would likely be first on the docket? And that's how you would become aware of it?
Sam Peterman: I think we'll be aware of it as the as the judge issues that. So I don't think there will be any, any surprises there.
Michael Cohen: Okay, thank you very much.
Operator: And at this time I'm showing no questions in queue. I would now like to hand the conference back over to the speakers for any additional or closing remarks.
Jon Kirchner: Thanks, operator and thanks, everyone for joining us on today's call. We delivered another solid quarter. And I'm particularly pleased with the progress we've made on growth in our IP business, AutoStage and AutoSense deployments, IPTV, IPTV adoption and expanding the TiVo Stream platform. I want to thank our employees for the dedication and commitment to executing on our strategy. And I look forward to discussing our progress with shareholders over the coming months and look forward specifically to seeing some of you virtually at the Wells Fargo Fifth Annual TMT Summit in early December. Operator that concludes today's call. Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.